Operator: Good morning. My name is Lexi, and I will be your conference operator today. As a reminder, this call is being recorded. At this time, I would like to welcome everyone to Timken's First Quarter Earnings Release Conference Call. [Operator Instructions] Mr. Tschiegg, you may begin your conference.
Steve Tschiegg: Thank you, and welcome to our first quarter 2015 earnings conference call. I'm Steve Tschiegg, the company's Director of Capital Markets and Investor Relations. We appreciate you joining us today. If after our call, you have further questions, please feel free to contact me at (234) 262-7446. Before we begin with our remarks this morning, I want to point out that we posted on the company's website presentation materials that we will reference as part of today's review of the quarterly results. You can also access this material through the download feature on the earnings call webcast link. With me today are The Timken Company's President and CEO, Rich Kyle; and Phil Fracassa, our Chief Financial Officer. We have opening remarks this morning from Rich and Phil before we open the call up for your questions. [Operator Instructions] During today's call, you may hear forward-looking statements related to our future financial results, plans and business operations. Our actual results may differ materially from those projected or implied due to a variety of factors, which we described in greater detail in today's press release and in our reports filed with the SEC, which are available on the timken.com website. We included reconciliations between non-GAAP financial information and its GAAP equivalent in the press release and presentation materials. Today's call is copyrighted by The Timken Company. Without written consent, we prohibit any use, recording or transmission of any portion of the call. With that, I'll turn it over to Rich.
Richard G. Kyle: Thanks, Steve. Good morning, everyone, and thank you for joining us. This morning I'll provide some color on the quarter and share with you how we're thinking about the balance of the year. Phil will then get into more specifics on the numbers before we open the line for your questions. In the quarter, we achieved sales growth of 3% compared to last year, a gain that was more than offset by the 5% negative impact from currency. The net result left us with revenue being down 2% overall compared to last year. Primarily as a result of share buyback and cost reductions, we were able to offset all of the impact of the 2% decline at the earnings level, holding EPS flat with prior year at $0.50. We continue to grow our Process Industries segment faster than our end markets, with 9% growth excluding currency. Mobile revenue, down 2.5%, was disappointing. The ag market remains depressed. Aerospace sales were down due to the overhaul closure as well as a weak defense market. And our automotive aftermarket business got off to a slow start to the year. Despite all that, we managed to hold the companywide margins in line with last year, down just 10 basis points, but both business units' margin were below end of the range of our target levels. One other comment on margins. The aerospace restructuring and integration into mobile is on track. While revenue into the aerospace market was down in the quarter, costs were down more and we expect aerospace margins to fall squarely in line with the other markets within the mobile segment as the year progresses. We continue to return significant capital to shareholders during the quarter. We paid our 371st consecutive quarterly dividend and purchased 2.3 million shares during the quarter. Before I turn to the outlook, let me spend a moment on our SG&A structure. Over a year ago, we launched an enterprise-wide initiative to improve the efficiency of our SG&A. We committed to redirect part of the reductions into increased spending in DeltaX, our enterprise-wide growth initiative and at the same time, improve margins. We've made excellent progress. In what has been a challenging environment to leverage SG&A, we steadily reduced cost while fulfilling our commitment to increase DeltaX funding. The first quarter of '15 was helped by currency and incentive comp reductions. But we haven't successfully changed in the cost structure of the company more gradually and systematically continuing down this path. Turning to the full year outlook on Slide 7. We came into the year with a 4% outlook for growth. And while we achieved 3% in the first quarter, we are reducing our full year outlook to 1%. The reduction is a reflection of our outlook on markets, not our participation in those markets. It's too early in the reporting cycle to make a firm call, but we believe that our 3% pre-currency is going to stack up very well and we expect that trend to continue for the full year. Similar to last year, we are forecasting sequential improvements from the first quarter in both volume and margins to achieve the 1%. Our order patterns in March and April are supportive of the sequential assumptions and the 1% for the full year. Phil will speak more about the markets when we get to the segments. But in summary, the strength we are seeing in several markets is being offset by weakness in others, netting to a no- to slow-growth outlook. We have increased the negative impact from currency for the full year to 5% with the expectation that the current currency environment will hold for the full year. The estimated impact from currency goes from $0.15 to $0.35 per share. The drop-through reflects not only translation, but the fact that our footprint and cost structure is more heavily weighted to the U.S. dollar and Chinese RMB, so our margins have been pressured on exports out of those 2 countries into countries with weaker currencies. That as well as the volume is reflected in our reduced margin forecast for the full year. We do expect to get both businesses back into their targeted margin ranges this year as sequential volume improves. Phil will provide more color momentarily. But I'd like to wrap up by pointing to several growth initiatives in focus areas. These include the launch of a new hub product in this quarter for an automotive OEM that will ramp through the course of the year; the opening of a new gear drive facility, which provides additional capacity and improved manufacturing technology. The Revolvo integration is progressing well and we remain confident in our ability to accelerate the growth of the Revolvo product line through our global scale end channel access. We just announced an improved and expanded line of spherical roller bearings. And we had a good first quarter in Asia, led by China, and expect another year of solid profitable growth in China for the full year. Also in the first quarter, we reorganized our U.S. sales force to improve collaboration with distributors and OEMs and to improve geographic coverage. We will also begin to roll out this quarter our new CRM system, customer relationship management system. The system's designed to improve and increase face time with OEMs and distributors globally. Our technical sales model, the talent we put in the field, the tools they have available to them and the intellectual property behind both is a key differentiator for us, particularly in the design phase with OEMs and this is another investment in improving that model. Our priorities looking forward. We believe that the strong dollar environment is here to stay. And we're working to offset the impact of the business. We view the translation impact as part of being a global business. But the incremental margin impact is something we have to work to offset and we will. We're very comfortable operating globally. We're very capable over time of adjusting to a strong dollar environment. We're building our flexibility and responsiveness. We worked for several years to make our plants as well as our external supply chains more responsive to market upturns and more variable in cost structure and downturns. We're anticipating flattish markets but will respond well if markets are stronger. Our operations team continues to build momentum on our operational excellence initiative, our service levels are high and we are working to capture the cost opportunities available to us from soft commodities markets. I spoke earlier about several growth initiatives as well as the increased funding we've allocated to increasing our pipeline. We have a proven track record of profitable growth in Process Industries. It's still early in our efforts to replicate that in Mobile Industries and it takes some time, but we are making progress. And finally, we remain confident in the cash generation capabilities of the business and we expect to continue to create shareholder value through efficient deployment of our balance sheet and cash flow. In summary, while it was a challenging quarter, we held earnings flat with prior year, we continued to invest in talent and initiatives that will help us win in the marketplace long term, and we remain focused on value creation for our customers and our shareholders. Phil?
Philip D. Fracassa: Thanks, Rich, and good morning, everyone. Let's start on Slide 11. For the first quarter, Timken posted sales of $723 million, down 2% from last year. Currency adversely impacted our sales by $33 million in the quarter or around 4.5%. Excluding the effects of currency, we achieved growth of around 2.5%, led by wind energy, rail, and military marine as well as the benefit of acquisitions. This was offset by partially by lower demand in aerospace, agriculture and the automotive aftermarket. From a geographic standpoint, excluding currency, sales were up 2% in North America; 11% in Asia, led by wind energy; and 2% in Europe. Latin America was down 6%. Turning to Slide 12. Gross profit in the first quarter was $203 million or 28% of sales, down 160 basis points from last year. SG&A expense of $129 million was down $13 million from last year. The decrease reflects lower incentive compensation, our ongoing cost-reduction initiatives and favorable currency. SG&A expense was 17.8% of sales in the first quarter, an improvement of 140 basis points from last year. During the quarter, we incurred a non-cash pension settlement charge of $215 million, substantially all of which related to the Prudential group annuity transaction we announced in January. This transaction, which covered approximately $575 million of retiree pension obligations, was funded entirely with pension plan assets, requiring no incremental cash funding from the company. As a result, you can see on the next line that our first quarter EBIT was a loss of $149 million. Moving to Slide 13. When you back out the pension settlement charge and other unusual items, adjusted EBITDA in the quarter was $73 million or 10.1% of sales, down from $75 million or 10.2% of sales last year. As outlined on Slide 14, the decline in adjusted EBIT was driven primarily by currency of $7 million, and volume and mix totaling $5 million, with the benefit of volume being more than offset by unfavorable mix. SG&A expense and other items had a favorable impact of roughly $10 million. Turning to Slide 15. We posted a net loss from continuing operations of $135 million or a loss of $1.54 per diluted share. On an adjusted basis, our earnings per share was flat at $0.50, flat with last year. Note that earnings per share benefited from lower shares outstanding as a result of our buyback program, including 2.3 million shares repurchased during the first quarter. Our GAAP tax rate in the quarter was 14%. On an adjusted basis, our tax rate was 32%, compared to 34% a year ago, reflecting our geographic mix of profitability and greater utilization of foreign tax credits. We expect to maintain a 32% adjusted tax rate for the remainder of 2015. Now turning to Slide 16. Let's take a look at our business segments, starting with Mobile Industries. In the first quarter, Mobile Industries sales were $393 million, down 7% from last year, with currency representing about 2/3 of the decline. Excluding currency, sales were down around 2.5%, driven by lower agriculture, automotive aftermarket and defense-related aerospace shipments, offset partially by continued growth in the rail sector. For the first quarter, Mobile Industries EBIT was $35 million. Adjusted EBIT was $36 million or 9.3% of sales compared to $45 million or 10.7% of sales last year. The decline in earnings was driven by lower volume, unfavorable mix in currency, partially offset by lower SG&A expense. The outlook for Mobile Industries sales for 2015 is to be down 5% to 6%, driven by negative currency of approximately 5%. Excluding currency, sales are expected to be flat to down 1%, reflecting lower off-highway and aerospace demand, partially offset by organic growth in the light vehicle and rail sectors. EBIT margins are expected to be at the low end of our targeted range of 10% to 13%. Turning to Process Industries on Slide 17. Sales for the first quarter were $330 million, up around 5% from last year. Excluding currency, sales were up 9%, driven by growth in the wind energy and military marine sectors as well as the benefit of acquisitions. For the quarter, Process Industries EBIT was $45 million. Adjusted EBIT was $51 million or 15.4% of sales compared to $49 million or 15.6% of sales last year. The increase in earnings was driven by higher volume, partially offset by unfavorable mix and currency. The outlook for Process Industries sales for 2015 is to be down 2% to 3%, with a negative currency impact of approximately 5%. Excluding currency, sales are expected to be up 2% to 3%, reflecting organic growth in wind energy and services as well as the benefit of acquisitions, partially offset by softer-than-expected industrial distribution demand. EBIT margins are expected to be at the low end of our targeted range of 17% to 20%. Turning to Slide 18. Operating cash flow from continuing operations for the quarter was $17 million, up from last year's use of cash of roughly $1 million. The improvement was driven by lower trade working capital needs and lower pension payments compared to the first quarter of last year. After CapEx of $20 million, free cash flow for the quarter was roughly breakeven. Note that the first quarter is our seasonal low for free cash flow due in part to the payment of incentive compensation for the prior year. Looking at our balance sheet and capital allocation on Slide 19. We ended the quarter with net debt of $354 million or 20% in capital, up from 13% at the end of 2014. During the quarter, we continue to make progress in our capital allocation strategy. We invested $20 million in CapEx, we paid a quarterly dividend of $0.25 per share or $22 million in total and we bought back 2.3 million shares at a cost of $97 million. As of March 31, we have approximately 6.6 million shares remaining under the company's authorized share repurchase program, which expires at the end of this year. Looking to the balance of 2015. We will continue to march toward our 30% to 40% leverage target and we will report our progress with regard to capital allocation on a quarterly basis. Shifting to our outlook on Slide 20. We now anticipate sales for the year to be down around 4% compared to last year, driven by 1% organic growth, more than offset by 5% of negative currency based on March 31 spot rates. We expect earnings per diluted share to be in the range of $0.60 to $0.70 per share. Included in our earnings outlook are 3 unusual items totaling net expense of $1.70 related to non-cash pension settlement charges of $1.75, restructuring and impairment charges of $0.20, and $0.25 of income related to an anticipated discrete tax accrual adjustment. Excluding these items, we expect adjusted earnings per share to range from $2.30 to $2.40 per share. We estimate our adjusted EBIT margin will be in the range of 11.5% for the year. Currency is expected to negatively impact our margins by almost 100 basis points. This is due primarily to the level of cross-border shipments in our business, especially exports out of the U.S. and China, which in the current environment will impact our profitability to a greater degree than normal translation. After CapEx spending at 4% of sales, we estimate free cash flow will be roughly $190 million or around 90% of adjusted net income. As we did back in January, we added Slide 21 to provide some detail on the components of our earnings per share change from 2014. At the midpoint, our 2015 adjusted EPS guidance is down $0.20 from last year. We estimate currency will negatively impact us by about $0.35. In addition, we anticipate higher pension expense of around $0.05 and higher interest expense of around $0.05. On the positive side, we estimate organic growth at roughly $0.10 and a lower tax rate at around $0.05. Finally, share repurchases. Including the full year impact of what we completed last year as well as the impact of the 2.3 million shares bought in the first quarter of this year should add $0.10 in total. The sum of these items get you to the midpoint of our current estimate for 2015. Any share buybacks during the remainder of this year will further increase earnings per share. We will update our guidance for this item on a quarterly basis. While the year got off to a slower than expected start and the current market environment is challenging, we remain focused on our strategy and are well-positioned to capitalize in market upturns should they materialize faster than what our outlook would imply. This concludes our formal remarks. And we'll now open the line for questions. Operator?
Operator: [Operator Instructions] And we'll take our first question from Samuel Eisner with Goldman Sachs.
Samuel H. Eisner - Goldman Sachs Group Inc., Research Division: So on the organic guidance of around 1%, obviously, down, are you guys are still thinking that, that split between -- kind of 50-50 between market growth and penetration, can you just talk a bit about those 2 buckets embedded in organic expectations?
Richard G. Kyle: Yes. Nothing really changed there, Sam, on the organic. And that what I was trying to allude to in my comments that we think the 3% organic, when the dust settles, is going to stack up pretty well when you look at a lot of the big bearing consumers and users and distributors that have reported publicly to date. Deere down midteens in revenue, Cat down, excluding currency, I think 1%. Industrial distributors in the US, 1% to 2% up. So we think the 3% is going to stack up pretty well in the 1% to 2% above market. And then we think we will hold that for the year. So we're looking at flattish to slightly down markets.
Samuel H. Eisner - Goldman Sachs Group Inc., Research Division: Got it. And then if I think about your Process Industries, I guess organic guidance here, you guys just printed, I believe, if I back out the acquisition benefit in the quarter, around 7% organic. And now I believe you're implying around 1% organic for the full year. Do those numbers match up with you and kind of maybe you can talk a bit about what you're seeing into the back half of the year? Is it comp space? Is there something that you're seeing, a deceleration in your business, that would see that kind of step down in the organic growth rate?
Richard G. Kyle: Yes. The guidance implies sequential improvement at the corporate level of a couple percent per quarter to get up to the run rate. So it's really a comp issue versus a sequential issue on the revenue line. But we did soften the outlook beyond the currency impact. We looked -- softened a little bit, 1% to 3%, several market outlooks. And certainly, one of those was our industrial distribution outlook for the year, which not only reduced that outlook for Process Industries a little bit on the top line, but as part of the margin challenges that we have, as you know, that's an attractive part of the mix for us.
Samuel H. Eisner - Goldman Sachs Group Inc., Research Division: Understood. And then just lastly, you guys talked about unfavorable mix in the quarter, I believe in both segments. Can you just give a little bit greater color on what you're actually seeing from a mix standpoint?
Philip D. Fracassa: Sure, Sam. This is Phil. On the mix, really, in process, it boils down to our services business and when were the 2 main drivers of Boeing being up year-on-year, industrial distribution was actually down slightly during the year. And that really impacts us, obviously, from a margin standpoint to -- as industrial distribution, as you know, is our highest margin business in the company. On the mobile side, it was really mix within mobile, within various segments within mobile. The mix within rail, mix within aerospace. So the mix was -- had a slight -- a smaller impact than mobile and process, but it was slightly negative in the quarter.
Operator: And we'll take our next question from Steve Volkmann with Jefferies.
Stephen E. Volkmann - Jefferies LLC, Research Division: I guess my first question is more about currency. And I guess I'm thinking about the competitive landscape. Some of your big competitors have, I don't know, krone- or yen-based cost structures and you're kind of telling us you're along the dollar. I'm curious if you're seeing them use currency as kind of a weapon in the market share game here or how that's all playing out. And then I have a quick follow-up.
Richard G. Kyle: The answer to the question, very directly, would be no. We have not seen it in the marketplace. I would say, though, it is a factor for us in some slower movements from our perspective in trying to recapture currency with pricing moves in places like South America, where in the past, when the South American currency devalues, we're very quick to move pricing. We're in a little bit different situation this time because we would import more of our product into that market from the U.S. compared to our competitors, who are having to be a little bit more selective and judicious in that. But we're not seeing any price reduction pressure as a result of it.
Stephen E. Volkmann - Jefferies LLC, Research Division: Okay, great. And then, Rich, I think you said that you thought, given a little bit of time, you could sort of adjust to this cost structure or this currency structure, let's call it. And I'm curious, specifically, does that mean you move some production to Europe? Or what type of adjustments do you make to live within this environment?
Richard G. Kyle: Well, as we came into the year this year, we actually did have some -- and do have some production planned, where some of the parts that we make in the United States that are primarily exported, we had some of that moving into places like India and Eastern Europe. And that was -- that is in process, et cetera. There's -- we don't do that for short-term currency moves. So it's a product that is exported predominantly and would stay there if currency moved in other directions. It moves us more towards a footprint that is currency neutral. And so as we look to do that, we don't look to play short-term currency moves. So they need to be things that we do long-term. There's also limitations. And obviously, there's some costs involved with that and time. That's one of the reasons why on the -- that our margin decrements got greater on the next wave of currency than what we had in our January outlook as we have less of that and then obviously, moved a little faster than what we anticipated. So it -- our offsets are a little bit behind where the currency has moved. But long-term, we certainly can do more of that. And certainly, we strategically have for several years, had that objective to largely be exposed to currency just from a translation standpoint. We've been moving down that path. And we would look to potentially accelerate some of that. And that's probably as far as I'd go with that on today's call, Steve.
Stephen E. Volkmann - Jefferies LLC, Research Division: Can I just ask you if we could see any benefit on the P&L before the end of this year? Or is it really longer than that?
Richard G. Kyle: Well, I think there's some benefit of it factored into what you're looking at in the guidance. As I said, we had some of that factored in already. And we can certainly see more of it by the very late part of the year. But that is what we think we would do this year, is in the guidance that we provided. So any bigger impact would be '16 and beyond.
Operator: And we'll take our next question from Eli Lustgarden with Longbow Securities.
Eli S. Lustgarten - Longbow Research LLC: Just a clarification. Your guidance doesn't include any further action on the 6.6 million shares left in your authorization for the year. Is there anything precluding you from buying the stock? Is there anything that you're looking at so that would prevent you from finishing what's supposed to be done by the end of this year at this point?
Richard G. Kyle: There's nothing precluding us from continuing to be active in the market on the buyback. And we remain committed towards moving materially towards our capital allocation targets and debt to capital targets.
Philip D. Fracassa: Yes, and if I could just add, Eli. Obviously, we're looking to share buyback in conjunction with other options for usage of capital. So we will continue to look at acquisitions and other items as well. But as Rich said, no barriers to completing it. If we were -- just for guidance purposes, if we were to complete it, call it, evenly throughout the remainder of the year, it would -- we would calculate roughly another $0.07 of incremental EPS that it would do if it were to occur evenly, so just from a guidance standpoint.
Eli S. Lustgarten - Longbow Research LLC: You read my mind on that. Can we talk a little bit about what's going on, on the acquisition front? I mean, we had one big one sold in Browning. Is there another one showing up yet? Or is there anything out there that could be material for acquisitions for you guys at this point?
Richard G. Kyle: I would say our M&A pipeline is certainly much more active than what it would've been a year ago or 2 years ago. I think that is probably more a function of our focus as a management team on it versus necessarily a more active M&A space. Obviously, a year ago and 2 years ago, we were in the midst of the steel spin and some other activity. So we are more focused on it. We're looking at a lot of things. We don't have much to show for it at this point, fairly small transactions last year and nothing to announce yet this year. Certainly, we will keep you posted if that changes.
Eli S. Lustgarten - Longbow Research LLC: And can we talk a little bit about the cadence or how to look at the earnings for the rest of the year? There is always seasonality in your business. But are we still looking for the seasonal step up in the second and third quarter and weakening fourth? Or is something changing, given that you've tempered the outlook as you go through the rest of the year?
Richard G. Kyle: Yes. I think one thing -- let me actually make a point of clarification and then answer the question. One of the things that has happened with our Process Industries margins, as the size of our Timken Power Systems group has grown, which is our Philadelphia Gear, gear drive business as well as our Industrial Services business within that segment, is that has grown. That is very much a seasonal business that ramps through the course of the year. Over the full course of the year, it's very attractive from a margin perspective, very attractive from a return on invested capital standpoint. But it is very heavily weighted towards the second half of the year versus the first half of the year. And that has been the biggest factor as to why our margins in the first quarter over the last 2 years have slipped below the 17% to 20% target margin range. On the flip side of that, it's also been accretive to one of the reasons why our margin's been over 20% in the second half of the year. But that is a phenomenon that we expect to continue going forward. So certainly, that part of the seasonality of Process Industries is different than what it would have been 4 or 5 years ago, before that business segment had an upscale that it swayed the numbers. Then beyond that, I think as you look at last year, maybe a little bit more heavily weighted to the second half than last year -- than what we would have saw last year from a corporate level, and that's more due to some of the penetration items that we have baked in than any change in seasonality that we would have.
Operator: And we'll take our next question from Michael Feniger with Bank of America.
Michael Feniger - BofA Merrill Lynch, Research Division: First question, guys, is on inventories. How do you feel right now about your inventories at the company level but also within the distribution channel? Do you think inventories are now in line with the current demand environment?
Richard G. Kyle: So within the distribution channel, the answer to that would be largely yes and has been for some time. There has not been -- it's been a flattish market for a considerable period, some seasonality aside. Within our broader channels across the world, we certainly are in a destocking period for agriculture. And I would also put in that we've gotten into this guidance, baked in, destocking for the oil and gas segments. So we would expect both of those to be under downward pressure through the course of the year, a little bit different cycles. But we do not believe we've seen either those of those markets bottom. Agriculture is a bigger market for us directly than oil and gas. But both are under pressure. After that, I would say the inventory within the channel is about right for the volume levels, from our perspective. So if we saw an upturn, you'd see some of the inventory restocking that happens with that. And, Phil, do you want to comment on our internal inventories?
Philip D. Fracassa: Yes. Thanks, Rich. Yes, as you'll remember, we took quite a bit of inventory out in the fourth quarter. But we're heading into the first quarter, where we normally build inventory. We actually built around $10 million less inventory this year than last year. So we believe we are managing inventory very well. And that was despite the volume in the quarter and feel as though the inventory puts us in a good position to keep service levels high, respond to market upturns as they come, but yet, continue to focus on cash flow and managing the balance sheet.
Michael Feniger - BofA Merrill Lynch, Research Division: And I was hoping, the second question. If you could you just discuss the regional development? So it looks like Europe actually grew organically 2%. But North America might have been looked at as kind of a disappointment, only growing 2% x currency. Just curious, I was hoping you could talk about the regional trends you're seeing there. Is North America really the area that's disappointing? And how do you guys really see that moving through the rest of the year?
Philip D. Fracassa: Yes. No -- thanks for the question. Well, from a Europe standpoint in the quarter, as we said, we were up slightly. It was primarily real. We also had a slight increase in industrial distribution in the quarter in Europe. That was a big driver. Latin America, we were down 6%, but there it's actually -- it's more about last year than this year in Latin America. Our Timken Power Systems group has -- does business in Latin America. But we had a very large order last year that didn't recur and that was probably 90-plus percent of the explanation for the decline in Latin America year-on-year. The rest of the business was relatively flat. And then in Asia, up 11% was largely driven by our wind energy business in China as that business continues to perform very well.
Michael Feniger - BofA Merrill Lynch, Research Division: I was just wondering if you see any changes through the quarter? Do you feel like -- did the year start off very weak can get a little bit through March. Just -- I was just hoping you guys could comment on the progress in the quarter and maybe even into April?
Richard G. Kyle: Sequentially, the quarter improved January to February to March started off quite slow. And -- but in total, the -- even the quarter still came in a little bit lighter than we would have expected but certainly, improved through the course of the quarter. And the order backlog built where we needed it to, to get the sequential improvement that gets us to the guidance that we have out there, because, again, we do need sequential improvement from the first quarter to achieve those results. Very similar to what we saw last year in that regard is what we have in the number with a little bit of penetration on top of it.
Operator: And we'll take our next question from Schon Williams with BB&T.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Wondering if we could maybe dive into the -- maybe the end market commentary a little bit. You noted declines in aerospace and automotive aftermarket for Mobile. Is aerospace, is that simply just a planned -- is that the closure there? Or are you actually seeing some weakness in the market? I actually thought that there was some opportunity to kind of maybe ramp up volumes on the U.K. side within aerospace. And then maybe just talk about kind of automotive aftermarket. I'm kind of surprised to see kind that weak. What -- kind of -- a little bit of color there will be helpful.
Richard G. Kyle: Yes. On the specifics, on aerospace, the closure of the overall facility was the primary contributor to the year-on-year decline. We came into the year with a fairly down view of the defense market and a relatively up view of the civil commercial market, although we are smaller on that side of the business. Now that being said, we do have some penetration within the military marine market as well as the rotorcraft market, that we expect to offset that weakness. But that is a -- that business is also lumpy. So for the year, we're not looking for that to be a significant drag on year-on-year revenue. Last quarter, we provided a slide to that, 2015 market outlook drivers, and we put currency, geographies and end markets all into it and bucketed it into negative, neutral and positive and negative minus 3 or greater -- positive plus 3 or greater -- the neutrals plus 3 to minus 3. And the reason we put that back in the deck is, really, there wasn't much that moved from one spot to another. It was more markets that may have moved from a plus 2 to a minus 1 but would still fall within that neutral category. And then some of the negatives like agriculture and energy are probably a little more negative than what we would have anticipated coming into the year. So no major moves, more just a gradual reduction in the outlook.
Philip D. Fracassa: I'm sorry, Schon. I was going to comment on automotive aftermarket.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Yes, I was going to say, just specifically on the automotive market.
Philip D. Fracassa: It was down in the quarter as we talked about. And the fourth quarter was relatively strong in that business. And obviously, with weather, et cetera, in the first quarter, we -- not sure if that had something to do with, but it typically can have an impact on the start to the year. Obviously, that's another business that improved as the quarter wore on and would expect further sequential improvement as the year plays out.
Christopher Schon Williams - BB&T Capital Markets, Research Division: And then maybe just so you can kind of follow-up on the aerospace. I mean, can you just talk about what are the -- where are we in terms of the restructuring there? What are the milestones that we should be keeping an eye for? Are the margin targets still getting that business? Obviously, it's buried within 2 other segments now. I mean, is the goal still to get that unit to kind of double-digit margins over time?
Richard G. Kyle: Yes, and -- well, one, let me clarify that. I mean, it really isn't a unit per se anymore. So there's a lot of -- there's much more shared resources today than what there is before. So we look at it more from a gross margin standpoint than we would from an EBIT margin standpoint. But from a gross margin standpoint, we would expect it to contribute to the mobile profitability squarely within our 10% to 13% EBIT margins for the full year this year. So again, some volatility in that maybe from quarter-to-quarter. But for the full year, we would expect it to be a positive contributor and not dilutive on the margins as it was last year.
Operator: And we'll take our next question from Justin Bergner with Gabelli & Company.
Justin Bergner - G. Research, Inc.: My first question relates to the matter of currency moves and how it's affecting potential market share. I understand that you're very comfortable sort of with how your organic growth stacked up relative to the market. But are there certain end markets or areas where you're finding that there is some pressure or more pressure from foreign competitors that have more advantageous currency situations?
Richard G. Kyle: No. It's been -- it's obviously only been a couple of quarters with this phenomena taking place. Our markets generally don't react that quickly to those sort of things. So I think certainly long-term, it's a competitive issue that we need to address and long term, exporting as much as we do out of the U.S. into places like South America and Africa and Australia will be more competitively challenged from places like Japan and Europe. But short-term, again, the answer to that would largely be no. And 70% to 75% of our in-manufacturing, the inputs into that -- those supply chains could come, have some cross border flows but the end manufacturing is in the currency where the product is sold. And I can't exactly speak to our competitors, but they all have fairly similar strategies that would -- that they have been shifting more footprint to the U.S., as an example, over the last several years from Japan and from Europe while we've been shifting more into other places. Then we've all been shifting a fair amount into China as we look to penetrate into that market as well as use it for an export into ASEAN. But we certainly have more of our SG&A structure in U.S. dollars and more of our manufacturing structure in U.S. dollars than the European and Japanese companies. So it certainly does create some margin pressure. But no, we're not seeing it as a short-term 2015-2016 competitive pricing issue. And again, our customers, if they're looking to design in a bearing in United States for a piece of equipment and are going to bring it in from Japan or from Europe, they're generally going to look -- somebody is going to take that currency exposure risk not for 1 year but for 5 years, 7 years, et cetera. And a lot of times, when we do that, we have -- generally, what would happen is we're producing 10 products -- we're supplying 10 products into a customer in Europe. 8 of them are made in Europe, 1 is made in China, 1 is made in the U.S. because of the predominant sources there. So it's more situation like that. This is not a place -- again, these are generally designed end products, where you're going to change short-term currency.
Justin Bergner - G. Research, Inc.: Got it. One quick other question, which is in your process market outlook and the deceleration therein, is wind part of the reduced outlook? Or is wind holding up at least looking out through '15 versus prior?
Philip D. Fracassa: Yes, Justin. This is Phil. I would say we would say wind is holding up relatively well and would expect it to hold up well for the remainder of the year. So we wouldn't see a big drop off there. And probably, the biggest change from January to now would just be more in the industrial distribution area, just in terms of that market being softer than we would have anticipated back in January.
Operator: [Operator Instructions] We'll take our next question from Steve Barger with KeyBanc Capital Markets.
Steve Barger - KeyBanc Capital Markets Inc., Research Division: Just thinking about some of the internal programs. You mentioned DeltaX had been going on for a while, SG&A efficiency programs. Are any of those really a margin drag now that swing to a benefit in 2 half? Or is the payback in 2016? Just trying to get a sense for timing of benefit.
Richard G. Kyle: Well, certainly, on the SG&A, it was the primary driver of holding margins year-on-year. And we would expect it to contribute to the full year on an absolute basis. How much it ends up on margins obviously is -- depends on where the revenue comes in line. But we would expect it to help there. And then, definitely on the DeltaX initiative, yes. We -- some of the penetration that we have taking place this year is a result of that. But more of it -- where we really formally launched the DeltaX project last year and, again, most of our product, relatively long sales cycle at the OEM side, and that's a longer-term play, on the aftermarket side, where quite a bit at the hiring was globally for DeltaX, clearly, we are expecting benefits of that yet this year, when we've added people in emerging markets, added sales offices in emerging markets. We're certainly expecting to have some penetration gains from that yet this year.
Steve Barger - KeyBanc Capital Markets Inc., Research Division: So the infrastructure on the aftermarket side is all in place now?
Richard G. Kyle: No. I mean, it's an evolving situation. But when we announced DeltaX, we announced that we were adding 60 heads -- we were approving 60 heads immediately and that would've been 6 months ago, where over half of that has been hired and put in place. And we're looking at releasing some greater approvals beyond that yet this year in the plan as well.
Steve Barger - KeyBanc Capital Markets Inc., Research Division: Got it. And you've talked about needing sequential improvement to get to the guidance, which makes sense. But I just want to see if I understand this correctly. You expect quarterly performance in 3Q and 4Q to exceed 2Q because of things like what we just talked about in the Philly Gear dynamic? Or is that reading too much into it?
Richard G. Kyle: No, that is not reading too much into it. We would expect Q3 to probably be the peak. But Q3 and Q4, certainly the second half to be significantly stronger than the first half.
Steve Barger - KeyBanc Capital Markets Inc., Research Division: Okay. You've talked a lot about focusing on being more customer-facing, taking costs out of the manufacturing process. Are there opportunities to outsource component manufacturing so that you can focus more on the design and manufacture of the proprietary or the value-added side of the product?
Richard G. Kyle: Yes. And we've been doing a lot of that over the course of the last decade. It continues to gain momentum. And we do a much, much smaller percentage today of all of our initial machining and forming operations. And we do less noncritical component manufacturing as well. The proprietary stuff for us -- most proprietary stuff, frankly, is in the application engineering, the design and the working with the customer. And on the manufacturing side, it's in the heat-treat technology and the finished grind and hard turning and the really precision manufacturing. So certainly, as we have built new plants, it's focused on that heat-treat and forward process. And we outsource essentially everything beyond that on new plants. And then the existing plants, where we have the assets installed, we have exited some of that. But some of where we've got depreciating assets and capabilities and talent doing it is still a competitive advantage. But virtually none of our capital goes into that anymore.
Steve Barger - KeyBanc Capital Markets Inc., Research Division: Understood. So you're far along in the process of outsourcing those noncritical parts?
Richard G. Kyle: Yes. And it is a part of a more flexible cost structure than what we would have 2 years ago, 5 years ago and beyond that as well.
Operator: And we'll take a follow-up question from Justin Bergner with Gabelli & Company.
Justin Bergner - G. Research, Inc.: My follow-up relates to just the repurchase dynamics. Obviously, you have this big authorization remaining and you did a big chunk in the first quarter. It seemed perhaps more weighted towards the latter half of the quarter, but probably constrained by the earnings calendar. Like, how do you think about the -- what's sort of holding you back from committing to finishing the repurchase this year? Are you waiting for potential M&A opportunities? Or is there something else you're sort of trying to get more visibility on before going forward with the full-out repurchase?
Philip D. Fracassa: Yes, Justin. This is Phil. I would say that as we've talked about before, we are committed to putting the balance sheet to work and marching toward that 30% to 40% target of net debt-to-capital. But obviously, we -- and the share repurchase is a very important tool to help us do that. And we bought back the 2.3 million shares in the first quarter. But obviously, there are other alternative uses of capital, so we continue to evaluate it as the year -- we will continue to evaluate it as the year unfolds and expect to be -- continue to be in the market behind that shares to some degree. And we'll report out on that quarterly as we go. But also looking to also execute on M&A pipeline as well and other growth initiatives. So they're all kind of part of the same mix. And we look at all of them collectively and, obviously, decide what we believe is the right use of capital for the shareholders.
Richard G. Kyle: I would just add we have a robust review process every quarter, where we look at all the options and what the market looks like, what the M&A environment looks like, et cetera. We have a thorough review with our board. And we're marching forward towards having a balance sheet that's more productive than what it has been. And the -- again, we took a quarter off a couple of quarters ago for that for looking at some big M&A. And we thought that was a worthwhile pause. And that was an option that presented itself at that time. And again, we're looking at that, what are the possibilities every single quarter and then taking -- then putting a plan in place that executes.
Justin Bergner - G. Research, Inc.: So it seems like it's sort of been finessed on a quarter-by-quarter basis with quarterly check points, the repurchase plan?
Philip D. Fracassa: I would say yes. We review it regularly. But we obviously, review it with our board quarterly. And typically, we'll assess it throughout the quarter. So it's not as though we do it 4 times a year. We're constantly looking at what we ought to be doing and, clearly, we're mindful of blackout windows and things like that. So we look to put 10b5s in place where -- if we like to buy during a blackout and that sort of thing. But I would say, we review it on a fairly regular basis. And, Justin, while I've got you, I wanted to clarify -- you had asked a question earlier about wind. I just wanted to clarify. We grew significantly in wind last year as the year played out so well. We would expect the wind market to be relatively robust. The increase we saw in the first quarter -- the increase for the full year will be less than the increase we saw in the first quarter year-on-year. So while we're going to continue to grow in wind throughout the year, I'd say not to the same degree we saw in the first quarter and certainly not to the degree we saw in '14.
Justin Bergner - G. Research, Inc.: Is that slower growth just a function of higher lapped comps? Or is it a function of the first quarter rate actually being higher than the rest of the year?
Philip D. Fracassa: No, it's really more the comps and really how we ramped last year.
Operator: [Operator Instructions] It appears we have no further questions in queue at this time. I would like to turn the conference over to Rich Kyle for any additional or closing remarks.
Richard G. Kyle: All right. Well, thank you all for joining us today. And as we started off, to recover my comments, what was a challenging quarter in currency has certainly presented some short-term headwinds for us. We remain very confident in the long-term prospects of the business and our ability to win in the marketplace and turn that win in the marketplace into value to our shareholders. And again, thank you for your interest today.
Operator: And this concludes today's conference. We thank you for your participation.